Operator: Greetings, and welcome to the Great Elm Group Fiscal 2026 First Quarter Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Adam Yates, Managing Director. Thank you. You may begin.
Adam Yates: Good morning, everyone. Thank you for joining us for Great Elm Group's Fiscal 2026 First Quarter Earnings Conference Call. As a reminder, this conference call is being recorded on Thursday, November 13, 2025. If you would like to be added to our distribution list, you can e-mail geginvestorrelations@greatelmcap.com or you can sign up for alerts directly on our website, www.greatelmgroup.com. The slide presentation accompanying today's conference call and webcast can be found on our website under Events and Presentations. A link to the webcast is also available on our website as well as in the press release that was disseminated to announce the quarterly results. Today's conference call includes forward-looking statements, and we ask that you refer to Great Elm Group's filings with the SEC for important factors that could cause actual results to differ materially from these statements. Great Elm Group does not undertake to update its forward-looking statements unless required by law. In addition, during today's call, management will refer to certain non-GAAP financial measures. Reconciliations to the most comparable financial measures are included in our earnings release. To obtain copies of our SEC filings, please visit Great Elm Group's website under Financial Information and select SEC filings. Today's comments do not constitute an offer to sell or a solicitation of an offer to buy interest in any investment vehicle managed by Great Elm or its affiliates. Any such offer, solicitation will only be made pursuant to the applicable offering documents for such investment vehicle. On the call today, we have Jason Reese, CEO; Adam Kleinman, President and General Counsel; Nicole Milz, COO; and Keri Davis, CFO. I will now turn the call over to Jason Reese, CEO.
Jason Reese: Good morning, and thank you for joining us today. Great Elm made significant progress across our strategic initiatives in the fiscal first quarter, building on the momentum from our record year in fiscal '25. During the quarter, we advanced our goals to expand our platform, grow assets under management and enhance our profitability. Notably, we raised nearly $250 million of debt and equity capital across our credit and real estate platforms through both private investments from strategic partners and public raises through GECC's at-the-market equity program and a new baby bond. Fee-paying assets under management grew 9% year-over-year to approximately $594 million or 10% on a pro forma basis to approximately $601 million. As I have reviewed on prior calls, in July, we established a transformative partnership with Kennedy Lewis Investment Management, which invested in both GEG and Monomoy REIT, committing up to $150 million in leverageable capital to Monomoy REIT to accelerate our real estate platform expansion and purchasing 1.3 million shares of GEG common stock. This partnership is a true catalyst for growth, bringing not only capital but also deep institutional expertise in scaling real estate platforms. As part of this partnership, Lloyd Nathan joined the Board of GEG and Ludwig Schrittenloher joined the Board of Monomoy REIT. In August, Woodstead Value Fund purchased 4 million newly issued shares of GEG common stock at $2.25 per share, raising approximately $9 million in equity capital. Alongside the investment, Booker Smith joined our Board to help advance and expand our key verticals. Great Elm also issued 10-year warrants to Woodstead for an additional 2 million shares of GEG common stock, 1 million struck at $3.50 and 1 million at $5, further aligning their interest with those of all shareholders. Great Elm Real Estate Ventures continued to ramp during the quarter. Monomoy BTS sold its second build-to-suit development property in Canton, Mississippi for over $7 million, generating a gain of over $0.5 million. Construction on the third BTS property is nearing completion with a robust pipeline of development opportunities behind it. Monomoy Construction Services completed its second full quarter since inception, contributing approximately $700,000 in revenue. With construction capabilities fully integrated in-house, we can offer tenants comprehensive turnkey solutions, capture more value through the property life cycle and execute on our growing project pipeline. At Monomoy CRE, investment management and property management fees increased 12% over the prior year period, driven by the growth in fee-paying AUM and growing rental income. The REIT deployed over $13 million to acquire 7 new properties at attractive cap rates and acquired a land parcel adjacent to an existing asset to accommodate a tenant expansion under a new 10-year lease. This transaction demonstrates our ability to meet tenants' needs while enhancing portfolio value. In our alternative credit business, GECC delivered a strong quarter in terms of capital formation and balance sheet optimization. GECC raised approximately $28 million in equity proceeds, including a $15 million private placement and a $13 million through its at-the-market equity program. In August, GECC doubled the borrowing capacity under its revolver to $50 million from $25 million, reducing the revolver interest rate by 50 basis points and has the ability to further expand the facility to $90 million under certain circumstances. In September, GECC refinanced its highest cost debt, the $40 million of 8.75% notes due in September '28 with a $57.5 million of 7.75% notes due in December '30, reducing annual cash interest expense by 100 basis points and extending its debt maturity profile. GECC's operating results for the quarter were impacted by First Brands, which traded down sharply in late September before filing for bankruptcy at the end of the quarter. GECC held exposure to First Brands through syndicated loans. Consequently, NAV was negatively affected and GECC placed its First Brands investments on nonaccrual at the end of September. Despite this operating setback, the capital initiatives executed in the quarter leave GECC in a position of strength with a strong balance sheet, ample deployable cash and capacity to invest in income-generating opportunities in the coming quarters. Meanwhile, our Great Elm private credit strategy continued with strong performance, returning 15.2% net calendar year-to-date through September 30. Since inception, we have made income distributions exceeding 15% of original invested capital to investors in the strategy, highlighting disciplined deployment and a focus on value preservation. Outside of our core business, our CoreWeave-related investment remains a significant success story. We have already received over 100% of our initial $5 million investment in distributions to date, and we continue to see meaningful upside potential despite recent volatility in CoreWeave stock price that contributed to unrealized losses in this investment and GEG's net loss for the quarter. Shifting back to Great Elm. Our balance sheet also remains solid, ending the quarter with approximately $53.5 million in cash, providing us with ample flexibility to support our growth initiatives and take advantage of attractive opportunities as they arise. In July, our Board expanded our stock repurchase program by $5 million to $25 million in total. Through November 11, we have repurchased 5.6 million shares for $10.9 million at an average price of $1.93 per share, leaving $14.1 million in remaining program capacity. These repurchases reflect our continued confidence in the company's long-term value and are a highly accretive use of capital. As we move through fiscal '26, we remain focused on growing fee-paying AUM, scaling our credit and real estate platforms and translating our strategic progress into sustained financial performance as we seek to create enduring value for our shareholders. With that, I'll hand it over to Keri.
Keri Davis: Thank you, Jason. I will provide a brief overview of the quarter and of course, welcome all of you to review our filings in greater detail or reach out to our team with any questions. Fiscal first quarter revenue was $10.8 million compared to $4 million for the prior year period. The increase was primarily driven by $7.4 million in revenue recognized from the sale of our second Monomoy BTS build-to-suit property. AUM and fee paying AUM totaled approximately $785 million and $594 million, respectively, with fee paying AUM up 9% from the prior year quarter end. On a pro forma basis, AUM and fee-paying AUM totaled approximately $792 million and $601 million, up 7% and 10% from the prior year period, respectively. These figures incorporate the pro forma impact of GECC financing activities. We reported a net loss of $7.9 million for the quarter versus net income of $3 million a year ago, primarily due to unrealized losses on GEG's investments in GECC common stock and our CoreWeave-related related investment. Adjusted EBITDA for the quarter was a loss of $0.5 million compared to a gain of $1.3 million in the prior year period. As of September 30, 2025, we held approximately $53.5 million of cash on our balance sheet to deploy across our growing alternative asset management platform. Please refer to Slide 6 for a summary of our financial position and book value per share of approximately $2.30. This concludes my financial review of the quarter. With that, we will turn the call over to the operator to open for questions.
Operator: [Operator Instructions] We have a question from Nat Stewart of N.A.S. Capital.
Unknown Analyst: I've been following Great Elm Group for quite a while, and I'm pretty interested in the evolution the business has had lately. I was just trying to figure out kind of where you are in the growth picture. And obviously, with the asset management businesses, if you manage to keep the fixed costs at least relatively flat and grow AUM and revenue, it's going to create a lot of earnings growth. So I was just curious what you guys think about your current overhead and expense structure and kind of like just as a -- from a financial point of view, like where are you on this growth trajectory in terms of growing the REIT, growing the BDC, other opportunities? Kind of what clues can you give us about where you see this going and when we're going to really see some operating leverage kick in?
Jason Reese: Thanks, Nat. It's Jason Reese. I think best to say, we have spent a lot of time and effort building all the back office infrastructure. As you know, as you stated, this business is a high fixed cost and then low marginal cost going forward. I think we have the bulk of our fixed costs in place, and now the strategy is all about growing. As I think you've seen this past quarter, we made a major growth move on the real estate side. We're now putting that capital to work as we look to raise additional capital for the REIT. And on the BDC, kind of the same thing. We've done quite a bit of capital raising over the last 15 months. We hope to accelerate that. We do not think we need to come anywhere near growing the costs that we have in the past. So we think we're in a great spot going forward to leverage.
Unknown Analyst: Okay. Just like a little follow-up question. Obviously, there's a lot of public information on the BDC. The strategy there looks very good with that setback you had this quarter. I know I listened to that call, they talked about they need to diversify and maybe reduce some of the position sizes, which makes a lot of sense. On the Monomoy REIT side, I could be wrong, perhaps I just am not seeing it, but I'd be interested in just learning more about that business. Like it doesn't seem to have a lot of a public-facing information about it. Am I just missing it or not seeing it? Or is that kind of -- how do we learn more about that and what's going on there? Just a little more in-depth understanding of that.
Jason Reese: Well, let me give you a minute or 2, but I'd be happy to get on a call separately with you and get Chris [ Massey ], who is the head of that business on the call. But it is a private REIT. So there's not a lot of public information about it. But it focuses on the industrial outside storage space. The REIT has been operating for approximately 11 years. We have over 150 million -- 150 buildings that are -- we own in that REIT and growing. A lot of our focus is on the equipment rental space. Our largest tenant in this space is United Rentals, which the second largest tenant is Sunbelt Rentals in that space. And we've taken the time to build. We're not just an asset manager there. We have built our BTS business or build-to-suit where we're building our own properties for -- that will then go in the REIT or get sold to third parties, but for servicing the tenants. And we've also -- if you remember, in January, we purchased a construction business that we were using from the outside, so that we brought all of that in-house to have the capabilities to do everything from kind of cradle to grave with properties. We think it's a great business. We think it could be a public vehicle at some point in time. We're probably not quite at the scale I would want it to be before we took it public. But that is a possibility in the future. At that point, there would be the ultimate disclosure about it, obviously. But I'd be happy, Nat, if you want to e-mail me after the call, to set up a separate call and go in depth with you on Monomoy, if you'd like to know more.
Unknown Analyst: Okay. Yes. Is that -- what -- if I just e-mail the IR, will that -- IR e-mail, will that get through?
Jason Reese: It will get through...
Operator: At this time, there are no further questions. And I would like to turn the floor back over to Jason Reese for closing remarks.
Jason Reese: Thank you again for joining us today. We remain confident in the strategic direction of our business. We continue to raise significant capital, advance our credit and real estate platforms and strengthen our balance sheet. We are committed to executing on our growth strategy, scaling fee-paying assets under management and delivering sustained value for our shareholders over time. We look forward to keeping you updated on our progress. Thank you for your time and continued support.
Operator: That concludes today's conference. Thank you for joining us. You may now disconnect your lines.